Operator: Good afternoon, ladies and gentlemen, and thank you for standing by. Welcome to the Deckers Brand's Fourth Quarter and Fiscal 2017 Earnings Conference Call. At this time, all participants are in a listen-only mode. Following the presentation, we'll conduct a question-and-answer session. Instructions will be provided at that time for you to queue up the questions. [Operator Instructions] I would like to remind everyone that this conference call is being recorded. I will now turn the call over to Mr. Steve Fasching, Vice President, Strategy and Investor Relations. Thank you, sir. You may now begin.
Steve Fasching: Thank you, and welcome everyone joining us today. On the call is Dave Powers, President and Chief Executive Officer; and Tom George, Chief Financial Officer. Before we begin, I would like to remind everyone of the Company’s Safe Harbor policy. Please note that certain statements made on this call are forward-looking statements within the meaning of the federal securities laws which are subject to considerable risks and uncertainties. These forward-looking statements are intended to qualify for the Safe Harbor from liability established by the Private Securities Litigation Reform Act of 1995. All statements made on this call today, other than statements of historical fact, are forward-looking statements and include statements regarding our anticipated financial performance, including but not limited to our projected revenue, margins, expenses, earnings per share and operating profit improvement, as well as statements regarding our cost savings and restructuring plans, strategies for our product and brands, and our review of strategic alternatives. Forward-looking statements made on this call represent the Company’s current expectations and are based on currently available information. Forward-looking statements involve numerous risks and uncertainties that may cause actual results to differ materially from any results predicted, assumed or implied by forward-looking statements. The company has explained some of these risks and uncertainties in its SEC filings, including in the Risk Factors section of its Annual Report on Form 10-K. Except as required by law or the listing rules of the New York Stock Exchange, the company expressly disclaims any intent or obligation to update any forward-looking statements, whether to conform such statements to actual results or to changes in its expectations or as a result of the availability of new information. With that, I will now turn it over to Dave.
Dave Powers: Good afternoon. Thank you, Steve, and welcome everyone. Today, we are going to spend the first part of the call reviewing our fourth quarter and full year results. After that, we will shift our focus forward to how we're driving improvements and profitability. This will include specifics on the savings plan that we announced last call, as well as our financial outlook for fiscal year 2018. Before we discuss our results, I'd like to briefly comment on the process we announced that the end of April to review strategic alternatives. That process is ongoing and as you would expect we are unable to comment until the board completes its review and improves the definitive course of action or otherwise concludes the process. With that, let me turn to our results. During the fourth quarter, we executed on our strategic goals and achieve sales and earnings that were ahead of our expectations. For the quarter, our sales were above the range be provided due to better performance from UGG and HOKA as well as better than forecasted DTC sales. Non-GAAP EPS, excluding restructuring costs and other charges was $0.11. For the year, sales are $1.79 billion and non-GAAP EPS was $3.82. For the quarter, we are pleased with the performance of the UGG brand and reception to the UGG spring and Summerline. Sales of women shoes and sandals grew over 20% compared to last year as we made continued progress diversifying and deseasonalizing the UGG brand. And as we indicated, we were in our last earnings call, we reduced the amount of closed our products sold into the domestic wholesale channel. At the same time, we continue to drive growth at HOKA. Sales for the quarter were up 33%, pushing the brand over the key $100 million milestone for the year. HOKA's new product introduction like the Arahi and Hupana health field, healthy unit and margin growth. Looking ahead, we're excited about the domestic opportunity to expand distribution, as well as internationally, we were just beginning to scratch the surface of the brand's potential. Our DTC comp was flat for the quarter. Once again, we experienced strong demand in our E-Commerce channel, offset by declines in our retail store sales. For the year, our DTC comp increased 2.6%, driven by strong performance from our E-Commerce channel, which benefited significantly from the launch of UGG closet, as well as the close of our underperforming retail stores. As we enter fiscal 2018, we're in a much stronger position compared with a year-ago. The organizational review we completed has given as a clear path forward for improving profitability. Inventory levels are healthier at our retailers, and we have transitioned the marketplace to better product and with more quality distribution. Nevertheless, we expect that the environment will continue to be difficult. With the sales headwinds facing the majority of the retail industry, we're focused on improving profitability to the four strategic priorities I laid out a year ago. As a reminder, they are: developing compelling product, focusing on digital, optimizing distribution, and implementing cost savings. First, developing compelling product. Across our brand portfolio, our teams have elevated their offering and consumers and the trade are responding positively. HOKA is a perfect example, which won 18 awards in the last year, including editor's choice from women's health for the Hupana. With UGG, we've had success incorporating Treadlite and UGGpure further into the product line. One example is the Royal slide which was introduced this spring and quickly sold out. For this fall, we continue to innovate and were excited about the launch of our waterproof Classic with Vibram Arctic Grip and several high-profile product collaborations, including our announce collaboration with Phillip Lim. Second, focusing on digital reach to consumers. This past year, we'd key wins with UGG closet, which drove significant growth in our E-Commerce business. And with the launch of our UGG rewards program, which now has nearly 0.5 million members. We have great digital momentum, especially in the U.S. where we estimate over third of our total UGG sales are done online, including ugg.com and online sales with our wholesale partners. Third, optimizing distribution. The goal here to transform our account base to align with the changes in consumer shopping behavior. This year we close accounts that did not represent the best of the brand, and we open new accounts with quality wholesale partners, who are committed to showcasing more of our offering and also have strong online businesses. Finally, implementing a significant cost-savings plan to streamline our organization and improved profitability. This has been a major focus over the last 12 months, and I'm excited to discuss that plan more in a moment. But first Tom is going to cover fourth quarter and fiscal 2017 financials.
Tom George: Thanks, Dave, and good afternoon, everyone. Today, I'll take you through our fourth quarter and full year results and breakout the restructuring and charges recorded in the quarter. Please note throughout this discussion, where I refer to non-GAAP financial measures, I'm referring to results before taking into account restructuring impairment and other charges that our management believes are not core to our ongoing operating results. Also note, our non-GAAP results are not adjusted for constant currency. A reconciliation between our reported GAAP results and the non-GAAP results can be found in our earnings release that is posted on our website under the Investor step. Now to our results for the fourth quarter, revenue was $369.5 million, which was ahead our projections, primarily due to better performance from UGG and HOKA and better DTC sales. Gross margin was 43% compared to our non-GAAP result of 42.3% last year. The year-over-year difference was driven by less domestic promotional activity and a continued supply chain improvements, partially offset by foreign-exchange headwinds. Non-GAAP SG&A expense was $153.9 million compared to $154.5 million last year. Non-GAAP earnings per share was $0.11 for the quarter versus $0.11 last year. In the fourth quarter, we recorded $35.9 million in restructuring and other charges-related to retail closures, impairments and organization changes. Of the $35.9 million, $9.9 million were non-cash charges. Now to the year, revenue was $1.79 billion compared with $1.88 billion last year. The decrease was driven by a $106.8 million decrease in wholesale and distributor sales, partially offset by a $21.8 million increase in DTC sales. Gross margin was 46.7% compared to our non-GAAP result of 45.4% last year. The 130 basis points increase in gross margin was due to improved input cost and continued optimization of our supply chain, partially offset by foreign-exchange headwinds. Non-GAAP SG&A was $669.6 million compared to $656.2 million last year. Non-GAAP earnings per share was $3.82 compared to $4.50 last year. The year-over-year decline was driven by lower sales and higher SG&A, partially offset by a 130 basis points increase in gross margin. The non-GAAP effective tax rate was 23% and better than expected for the year, but slightly higher than last year’s non-GAAP rate of 22%. During the year, we incurred charges totaling $167.5 million related primarily to restructuring and impairments, of which $134.2 million were non-cash charges. At March 31, 2017, our backlog was up 6.6% compared to the same date last year. Directionally, UGG U.S. backlog was up low single-digit and UGG international was up double digits. As a reminder, our March 31 backlog only includes orders from wholesalers and distributors for delivery in April through December. This backlog figure represents about a third of our total revenue and does not include our company DTC sales. All of fourth quarter or any future orders we may book, such as at once orders or closeouts. I’d now like to hand the call back to Dave, who’ll provide an update on our savings plan and how we see it improving our business long-term.
Dave Powers: Thanks, Tom. As I said when I assumed the CEO role 12 months ago, fiscal 2017 will be a transitional period for the company. With the year now behind us, we’re moving forward with the sound plan in place to improve profitability, and laid a foundation for future growth. Last call, we announced a $150 million cumulative savings plan before reinvestment that consisted of a combination of SG&A and cost of goods improvements. We said that these savings will be implemented over the course of the next two years with the full benefit being realized in FY2020. We also said that we provide more guidance on how the savings would flow-through once we completed the year and finished our pre-book. With that process now complete, we’re pleased to share that the $150 million announced cumulative savings will drive a $100 million improvement in operating profit for the fiscal year 2020. With these savings, along with modest low single-digit revenue growth, we believe we can achieve an operating margin of 13% in fiscal year 2020. To provide some more prospective and where the savings will come from, COGS improvements will be achieved by: reducing product development cycle, optimizing material yield, consolidating our factory base and continuing to move production outside of China. SG&A savings will come from: further retail store consolidations, process improvement efficiencies, and reduced indirect spend. The process to implement savings is already underway. For FY2018, we expect net SG&A to be approximately $10 million lower. However, this understates how quickly we are addressing our cost structure. On our like-for-like basis, SG&A would be nearly $30 million lower, excluding the reinstatement of performance-based compensation. In regards to our global retail fleet, as we look out over next two years, we are planning to reduce our global company own brick-and-mortar footprint back 30 to 40 stores, which includes both closures and the transfer of existing companies towards the partners. By FY2020, we’re targeting to have an optimized company-owned fleet of approximately 125 stores globally. I will now turn the call over to Tom to provide guidance for the fiscal year 2018 as well as the first quarter.
Tom George: Thanks, Dave. For fiscal year 2018, we expect revenues will be in the range of flat to down 2% compared to 2017 levels, included in down 2% sales guidance are the following assumptions, slightly improved promotional environment with less closeout product in the channel. Similar weather conditions to last year. DTC comp up low single-digit. Domestic wholesale sales mid single digits, driven by U.S. wholesale account rationalization, international wholesale sales up mid-single-digits, in season reorders netting cancellations and fewer retail stores which represents loss revenue of approximately $15 million. The flat sales scenario assumes the following improvements. In season reorders exceeding cancellations slightly higher international wholesale business and colder start to the fall, winter selling season. By brand, we expect UGG revenue to be in the range of down 3% to down 1%; HOKA to grow approximately 20% to 25%; Teva up 1% to 5%, Sanuk down 10% to down 5%, and Koolaburra to be approximately $13 million to $16 million. With respect to gross margins, we expect full year gross margin to be approximately 47.5%, SG&A as a percentage of sales as projected to be approximately 37%. For the full year, non-GAAP earnings per share is expected to be in the range of $3.95 to $4.15 on a share count of 32.7 million and an effective tax rate of 27%. As a reminder, this excludes any charges that may occur from additional store closures and other restructuring charges. Capital expenditures for the fiscal year expected to be $45 million. We expect to generate free cash flow of approximately $150 million. For the first quarter, we expect revenue to be up low single digits compared with the same period a year ago. And we expect non-GAAP diluted loss per share of approximately $170 million to $165 million compared to a diluted loss per share of $1.80 last year. With respect to the 6.6% increase in the backlog and March 31 and how that ties to our full year outlook for revenue to be flat to down, there are few factors to keep in mind: First backlog is simply recorded at a point in time and can’t be compared with accuracy from year-to-year. For example, this show the main driver of our backlog growth was due to changes we’ve made with our EMEA wholesale partners in the way that they pre- book. Traditionally, our EMEA wholesale partners have booked later in than the U.S. This year we really push them to place orders earlier so that we can better manage our inventory and get commitments upfront. Second, between reorders in December and our fourth quarter business, there is still a meaningful amount of wholesale sales that we currently don’t have orders for. While inventory and the channels cleaner than was a year ago, based on how the past two holiday seasons have played out, combined with ongoing traffic challenges across brick-and-mortar retail. We believe that is prudent to be conservative when it comes to our assumptions since we have more visibility into the consumer demand. And third, our full year forecast, obviously, includes our direct-to-consumer business, which is not capturing backlog and represented roughly 35% of our fiscal year 2017 sales. And as I said, it’s important to remember that we’re facing the headwind in fiscal year 2018 from the stores we closed in fiscal 2017, which in total account for approximately $15 million. I will now hand the call back to Dave for his final remarks.
Dave Powers: Thanks, Tom. We are confident in our ability to execute our plan to improve profitability. We have made significant progress in the last year, and I want to thank our employees for their hard work, tireless dedication and willingness to embrace change to get us to this point. I look forward to continuing to successfully execute our strategy as we drive towards the 13% operating margin. As a reminder, we will not be commenting on our strategic alternatives process. So I asked to limit your questions to our financial results announced today. Thank you, in advance for your cooperation. With that, we will open up the call for questions. Operator?
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] The first question is from Jonathan Komp of Robert W. Baird. Please go ahead.
Jonathan Komp: Yes, hi, thank you. Couple of questions on the longer-term outlook. First, maybe just asking on the 2020 view of reaching $2 billion of sales with next year projected flat to down slightly, obviously, implies better growth the following two years. So just wanted to maybe parts out what you're seeing in terms of initiatives to help restart the top line growth rate after this coming year?
Dave Powers: Yes, Sure. This is Dave. So what I would say the focus for us around driving growth and getting to that $2 billion market really around the HOKA and UGG brands. For UGG, we're really focused on driving growth through the men's business, spring and summer businesses in women's and then really from a channel perspective it's E-Commerce globally, Europe driven by our opportunity that exists still in Germany and then in China. And then in addition to that in the HOKA brand, we see significant opportunity for growth in that brand I've just have to passing the $100 million mark. We're going to relocate some resources to drive growth in that brand, investing and marketing to drive awareness and investing in capabilities and our international markets activate the opportunity there as well.
Jonathan Komp: Okay. And any thoughts on the, I think, it's implied kind of a mid-single-digit topline growth after this year? Any thoughts on how quickly you could get – it sounds like the cost-savings site is really developing and materializing pretty quickly, but any thoughts on how quickly that the revenue to those levels?
Dave Powers: Yes, I think we were conservative at this point based on the challenges in the marketplace that we see in the short-term. So we're applying that, definitely for FY2018 and still in FY2019 and FY2020. We're focused on driving growth higher than that, but at this point from the outlook for today, again some of the headwinds of store closures, we think that’s the right number.
Jonathan Komp: Okay, great. And then maybe one more just on the longer-term targets, the difference in the growth versus the net margin improvement. Could you just maybe walk-through kind of what the difference is there? What you're investing in? Or what the offsets versus the growth savings might be?
Tom George: Yes, we still see a gross margin expansion with all the supply chain initiatives we've been talking about in factory in the moments in the factory, as well as data initiatives we've talked about. But we see a lot of leverage on the SG&A line. We feel really good where we stand from a cost-savings initiative on the SG&A site. In fact, we've got enough levelers in place, and in a visibility on the operating expense side, including and we're talking about further reduction in our retail store fleet. When you consider all that together, we feel even if we get flat revenue growth through 2020. We've got enough levers in place that we can still drive a $100 million of operating profit improvement and an operating margin at least 13%.
Jonathan Komp: Okay.
Operator: And the next question from Camilo Lyon of Canaccord Genuity. Please go ahead.
Camilo Lyon: Thanks. Good afternoon, guys. So Tom, just your last comment there, so the $100 million in the profitability improvement and the 13% either margin you're expecting, is this – is assume in a flat sales growth number, slide number, so any with that increase.
Dave Powers: The long-term targets we talked about, we feel we've got the right opportunities in place to grow the top line as well, and we'll have to do some reinvesting to do that, and we'll generate $100 million of operating profit and a greater 13% operating margin. But I wanted to reinforce with the fact, we have enough SG&A savings levers in place that – if we're not getting traction in the marketplace, we'll slowdown the reinvestment, and we'll still get $100 million operating profit improvement and still at least the 13% operating margin.
Tom George: Yes. So Camilo just to be clear on that. So Dave talked about 2020 with low-single digit growth revenue targets, that's what we're talking about the $2 billion. To Tom's point, we can still achieve the targeted 13% even if we don't get that low-single digit revenue growth. There is enough variability and the expenses that we can cut back to still achieve that 130% operating profit target.
Dave Powers: Correct.
Camilo Lyon: Got it, got it, understand. Thanks for the clarity. So I did want to ask on the cadence of the expensive savings, its sounds like so you're doing, you're going to see about $10 million this year, how do we think about that incremental expense savings realization in fiscal 2019 as you get to 2020?
Tom George: Yes. So as you think about $100 million profit improvement, basically one of the headwinds as Dave mentioned that we're facing in 2018 is an assumption of performance-based compensation payout. So that's netting some of that down in 2018. Once you get to 2019, the way we have it modeled in, roughly, as you get a more like for like. So the savings or profit improvement that you'll see will be greater because you won't now have that headwind of the performance-based compensation. So similar types of improvements for 2019 and then into 2020, and that's we gets your $100 million.
Camilo Lyon: Got it, great. And then my final question, Dave, if you could just give some thoughts on how you think about or how you thought about your wholesale rationalization domestically? And I see constant stuff this past season in which there was a lot of some of your – but there are a few wholesale partners in which and you pull the promotional trigger sooner than they should and disrupted the pricing in the market? How did you address that and what should that look like as we get in few thoughts?
Dave Powers: Yes, good question. So we made pretty significant progress on transforming North American marketplace, and that's a combination of a few things: One is cleaning up the number of accounts that we have in the North American business, we talked about that over time. So we have closed quite a few of accounts, roughly about 400 accounts. And the UGG brand some of the sizable and we have addressed some of the challenges we have last year with met violation and discounting. And as you know, we incubated some new opportunities in the last fall as well with Macy's and then also Amazon. So we've cleaned up some of the smaller disruptive accounts. We've strengthened the relationship with our top key accounts and we've opened new accounts that we think represent the brand in a positive way. And also allow us to do more E-Commerce business across the board in those channels. So still work to go, but we still feel very confident in the progress we've made and the repositioning of the brand. The other thing to keep in mind is, we will be going into this quarter – the fall quarter in a better place from an inventory perspective, less close on inventory in the channel and the headwind of the Classic I hangover is behind us.
Camilo Lyon: And just on that final point, do you expect more account closures? Or where you stand out as where you are comfortable at? And did the onboarding of Macy's in the bigger way in Amazon with that direct offset to be account do you close or did you come out the deficit or surplus?
Dave Powers: Yes. So we will continue to evaluate the fleet. We have new management in place in North America sales and a strategic account focus there. But over time, we will be closing more smaller accounts. I think that’s a right thing to do for the brand, and just how we control the marketplace in presentation of the brand. And overall, I think we will be slightly down. So while we are opening new accounts, offsetting some of those closures and some of the conservative nature of our key accounts that’s us in a situation that slightly down from North America wholesale.
Camilo Lyon: Got it. All the best. Thanks, guys.
Dave Powers: Thank you.
Tom George: Thanks.
Operator: Thank you. The next question is from Omar Saad of Evercore. Please go ahead.
Omar Saad: Hi, thanks. Good afternoon. Appreciate all the information. Wondering if you can dive in a little bit deeper on solid part of UGG in the quarter. Maybe you get a better understanding which is to remind new style, channels, the weather, any insight there will be helpful. I think when we try to understand the evolution of that brand now…
Dave Powers: To the fourth quarter – yes, so what we're seeing in UGG – yes, okay. As you know we've been focused on diversifying the UGG brand and building our spring and summer business for quite some time. And we actually have had a pretty successful quarter in 2 categories: sneakers and in sandals. So we had a few sneakers that were performing very strong for us, sold through at a high rate and drove the increase of 20%. And then sandals, across the board, but the introduction of the Royal slide into our DTC channel was the bestseller as well. So starting to get traction in these new categories, and I think it's driven by the fact that it's distinct own able product that has a DNA with a brand and as uniqueness in the marketplace. And also you're having more believe from our partners have showcased in that product in the timeframe as well. I don't know, Tom, if you want to add anything on the total…
Tom George: Our UGG business internationally was stronger-than-expected – direct-to-consumer business was stronger-than-expected really led by our domestic E-Commerce business is very well. And then the one – this is not UGG, but HOKA business was above expectation for the quarter.
Omar Saad: Fantastic, guys. Thanks for the help.
Operator: Thank you. The next question is from Scott Krasik of Buckingham Research. Please go ahead.
Scott Krasik: Yes. Hi, everyone. Congrats – bunch of questions, I will try to make them fast. For the year, what was your Classics as a percentage of total UGG sales? And then what were specialty classics as a percentage of total UGG sales?
Dave Powers: In terms of women, Classics are still about – they ended up still about 25% of women’s – core Classics were 25% and specialty Classic still ended up about 25% of the women’s business. We think that’s a good study rate going forward balanced out that business and core Classic to 25%, we think it’s a healthy rate going forward.
Scott Krasik: That’s good. And then just as you look at the backlog as of right now, that sort of how the backlog is booked as well? Are there any outliners within the backlog?
Dave Powers: No, pretty consistent. Yes, I think the cleanup both from a Classics perspective in the marketplace and account rationalization, the focus on innovation and styles like the waterproof Classic, the weather product and some of the specialty Classics, really netted assorted very similar shape to the fall, which I think is the right thing to do.
Scott Krasik: Good. Okay. And then what’s your DTC comp assume for the full year? And is there any quarter were you expect to be an outliner?
Tom George: We expect the DTC comp to be up low single-digits.
Scott Krasik: Okay.
Tom George: Yes, quarter – for Q1 – for Q1 up low single-digits, which is equivalent to what we delivered for the year. So our full year DTC comps were low single-digit positive.
Scott Krasik: Okay. That’s helpful. And just sort of when you look at the 2020 plan, what percentage of your UGG sales you expect to come from wholesale? And what percentage you expect to come from DTC?
Dave Powers: Yes. We haven’t given that level of visibility yet. DTC will be driven by growth in E-Commerce, and we’re really heavily investing and continuing to bolster that business globally, we'll have some store offset against that, but E-Commerce will be a driver. And on an international level, will be driven, as I said from really Germany and the Europe market, and then upside in China. But we haven’t – mix yet of full wholesale, but it should be definitely more – little more DTC.
Tom George: But it will be held back a little bit as we reduce our store count.
Scott Krasik: Okay. And then just – just lastly, you guys should generate a kind of cash based on this plan. I’m just wondering, how and when you elect to deploy the cash? Thank you very much.
Tom George: Good question. That is part of the board’s current strategic evaluation. So we’re really can’t comment on that right now.
Scott Krasik: Okay. Thanks, guys.
Dave Powers: Thank you.
Operator: Thank you. The next question is from Randy Konik of Jefferies. Please go ahead.
Randy Konik: Yes. Thanks a lot. So Dave, I just wanted to follow-up on the wholesale rationalization. You gave us perspective on – I think, you said close to 400 accounts. Is there any more granularity you can give us on how many – because you said there is more to come? Just any more granularity on how much more will come? And then is it safe to assume given where the backlog trends are and giving the account closures that have occurred already, it’s almost seems – if the – you’ve reached finally – some inflection stabilization in the core account base, is that fair? Or is that on the way? How do I think about that? That’s my first questions. Thanks.
Dave Powers: Yes. I’ll answer your second one first. I think that we have landed on a nice stabilization of core accounts that are driving the majority of the volume. So we use the term we want to win with the champions – the channel champions, and we think that with our current key accounts and some of the new ones we’ve incubated, we believe these are the player that are going to be around for a while, they have strong E-Commerce business is that we could continue to develop. And they’re going to represent the brand in a positive way. And then includes some of the newer accounts we’re incubating such as foot action in 602 in North America. Beyond that, we’ll continue to look at cleaning up the distribution. We want to elevate the presence of our brand here around. We want to showcase the full breadth of the brand. We don’t need more distribution for core Classics, we have that covered, and the customer knows where to find that. So I think you’ll see another couple of hundred, few hundred over the next few years of accounts clean up in North America, but we haven’t given the real detail or map that out exactly yet.
Randy Konik: Got it. And then can I ask about the international. Obviously, it seems like the opportunity there has been, it's like some fits and starts there. So just – have you guys – can you give us some perspective on how you think about potential sizing of the international opportunity? What things you need to take on to get that geographic part of the market to accelerate? And beyond, I think, you said Germany and UK, what are the – I think, China you said, what other areas are interesting? And what areas are just not appealing and why?
Dave Powers: Yes. So we’ve been working hard over the last year – couple of years really in the last year to kind of reset the game plan for Europe and also in China. We’ve new leadership in our European business for the UGG brand that came on in the last six months. We have spent a lot of time cultivating the new markets there of Germany, and looking for new opportunities beyond existing accounts and beyond Classic business. And I think we’re in a pretty good place in Europe. The brand continues to be strong. The order book looks good for the fall season. And I think the people are realizing, there is more opportunity for the UGG brand. So good leadership in place, good accounts segmentation strategy in place, product is right for the market and also the strategic partnerships with the key people over there are in place. So I think we’re in a good position for Europe. On the Asia Pacific side, the game is really all about China. And so we have obviously prove success with the brand with our owned store model and E-Commerce model. The partner program is off to a strong start. And we realized that through the conversations with our partner and the opportunity and the brand in that market, there is bigger upside for growth over time. So we’re going to invest in the brand in that market, we’ve shifted some marketing dollars for this year heading into fall 2017. We are in the process of aligning with the key celebrity in that market to really drive brand, heat and brand awareness and with the continued partnership with our wholesale partners opening doors for the UGG brand. We see that as a significant opportunity.
Randy Konik: And can I just ask one last one last one here. Yes, on the good work doing around cleaning up the distribution on the U.S. market. That’s going to create more UGG, I guess, scarcity value. And then give you more ability to kind of pleased pricing, et cetera. So how should we be thinking about kind of AUR trend and pricing architecture in the UGG-based business sort of UGG business over the next couple of years? Because it seems like, there’s an opportunity to kind of get more former pricing, less markdown less closeout on a – not just on a seasonal basis, but on a more sustainable structural basis that should give this business model more kind of long-term higher structural margin. So I just want to get your thoughts on that. Thanks.
Dave Powers: Yes, I think you’re thinking about at the right way. We are invested in the long-term health of the UGG brand. We think a little bit of scarcity across some of the core Classics business over time is the right thing to do. And we’re focused on improving ASPs and a tighter control on inventory in the marketplace. So you will see this fall that we’re going to less closeouts in the market, that’s the plan. More full price business and try to control the inventory through the process. So you’ve really summed up the goal long-term.
Randy Konik: Great, thank you.
Dave Powers: Thank you.
Operator: Thank you. The next question is from Jim Duffy of Stifel. Please go ahead.
Jim Duffy: Thanks. Hi, guys. Couple of questions for me. First, thanks for the detail, identifying the components of the savings opportunity in both the cost of goods and the SG&A buckets. Tom, which of those you expect come earlier in the window? And which do you see materializing later in that window through fiscal 2020.
Tom George: Both start coming not only in 2018, but 2019 and 2020. So they will occur in all three years. We see the SG&A opportunity is very large and significant not only this year, but also in 2019 and 2020.
Dave Powers: And I think, Jim, we're starting to see the impacts already of the COGS savings. And then the SG&A savings will be heavily driven by retail store closures over the next two years. Just a matter of timing when we get those stores closed.
Tom George: As well as the other indirect spend; savings we see in other organization process improvement efficiencies we'll see.
Dave Powers: Yes.
Jim Duffy: Okay. And then in terms of the evaluation of the retail fleet, it just a matter of MPV calculation or IRR calculation about getting out of those leases?
Dave Powers: Well, the assessment really comes down to: a, that a strategic locations sort of the brand long- term. And then you couple that with the financial performance – current financial performance and then based on outlook for that location what kind of returns are we getting on there. We have our threshold of 20% returns on profit for fore well. But then when you look at that over time, we think that we need to have a more balanced fleet between full price and outlet stores globally, full price to serve the consumer and the brand diversification efforts. And then the outlet stores in the market to you make sure, we keep a clean marketplace and drive profit.
Jim Duffy: Okay, great. And then I know implementation of product segmentation strategies go hand-in-hand with your agenda to be more strategic on distribution. In this fiscal year, where we see evidence in the marketplace of those product segmentation strategies? Or is that delayed over the next fiscal year?
Dave Powers: Yes, good question, because that's really important for the brand long-term. You're going to see initial results of segmentation. The challenge with that is, we are retrofitting so to speak the product line for fall 2017. But when you get to spring 2018 and really fall 2018, you will see a much more robust segmentation strategy with product design specifically for channel and tier.
Jim Duffy: Okay. Thank you, guys.
Dave Powers: You bet.
Tom George: Thank you.
Operator: Thank you. The next question is from Jay Sole from Morgan Stanley. Please go ahead.
Unidentified Analyst: Hi this is Joseph lied on for Jay. Just a few questions here. Can you talk about sort of the cadence store closures we may see over the course of the year? And then secondly, on the cost bucket between gross margin and SG&A, is it positive sort of rank importance of the each of the elements that you listed?
Dave Powers: In terms of the cadence, we're still evaluating that. What typically goes into play is – when – if you can't get them sooner than the year then you go ahead and take advantage of peak and get a big return on the store. And you typically have enclosed by the end for the fiscal year-end. In terms of what may be closed this year versus next year it could – to be determined, it is going to be a function of in some cases what kind of cash payment we need to make the good out of the store. But – for this year for fiscal year and 2018 the assumption we're making is that they are going to be close towards the end of the year, so therefore there is really not a big impact on revenues for the year.
Unidentified Analyst: Great.
Tom George: Including transfers to a partner kind of…
Unidentified Analyst: All right. Thanks. And then my second question, so could you rank the – like the importance of the buckets of COGS saving?
Dave Powers: As far as the components driving the COGS savings.
Unidentified Analyst: Yes.
Tom George: I'd say the biggest thing there is consolidating the factory-based moving production outside of China, the material yields some of the other sourcing negotiations and things that we're doing.
Dave Powers: Yes. And then going over time, the go-to-market process and the development process, so a skew rationalization, skew optimization and then just improving our product development and cycle times, will have a pay back on that too.
Unidentified Analyst: All right. Thanks so much.
Dave Powers: Thank you.
Operator: Thank you. The next question is from Rafe Jadrosich from Bank of America Merrill Lynch. Please go ahead.
Rafe Jadrosich: Hi, good afternoon. Thanks for taking my questions. Just in terms of the $50 million of reinvestment, where will that be focused?
Dave Powers: Yes, so there is a few areas. First and foremost, the reinvestment will be focused on our growth driver. So in the UGG brand, again, as around the areas of men's in spring and summer, and then creating awareness in the HOKA brand, so that’s a marketing reinvestment in the HOKA brand. In addition to that as Steve mentioned putting back the performance comp from its base comp into the mix. And then you have a level of sales-related variable expenses to the growth over time as well, two, three buckets.
Rafe Jadrosich: Thank you. And then just can you – I'm going to miss this, how many stores did you finish the year with?
Dave Powers: 160.
Tom George: 160.
Dave Powers: 160. And then we said by 2020, we think 125 globally own stores is the right number for the size of the business and our ability to the brand.
Rafe Jadrosich: All right, great, thank you.
Dave Powers: Thank you.
Operator: Thank you. The next question is from Bob Drbul from Guggenheim. Please go ahead.
Bob Drbul: Hey, good afternoon. I guess the first question is, on the backlog numbers that you talked about, does that include the account closure that's you had? Or did you exclude year-over-year?
Dave Powers: It's total.
Tom George: It's total. So it includes account closures that we've had. Correct.
Bob Drbul: Yes, okay, okay. And then can you talk a little bit on update on the men's business, how it's performing the outlook, as well as what you've learned with the Koolaburra with Kohl's.
Dave Powers: Yes. So men's, we're really excited about the momentum we have in men's. We started off last fall with continued momentum in our new male style. And that outlook for that product going into fall 2017 is very strong. In fact, it's the new male has become the number 1 style in the men's business, which is the first for us is usually a slipper. So it's indicative of the fact that we're getting a new customer into the brand, the younger consumer in the brand and diversified distribution for the men's product. So we're very excited about the progress in men's across the board. But particularly in that new male franchise that we think we can continue to leverage. Koolaburra, again, a small business, but started off well this past year with our introduction and launch primarily at Kohl's. We're going to continue that business to grow in a handful of accounts. We're not looking to sell this at a broad distribution independents and thrill around a key account focus with the lean team. And we think this year we can double the business from last year and continue to incubate that business over time.
Bob Drbul: And if I could just follow-up on the 400 accounts, is there a dollar number of sales that was attributed to those accounts? Or how much did that influence the backlog is in your backlog that you guys did do business with last year?
Dave Powers: Yes, generally speaking large number of doors, small amount of business, except for maybe a handful of little bit more sizable ones.
Tom George: Right.
Bob Drbul: Okay, great. Thank you very much.
Dave Powers: Thank you.
Tom George: Right.
Operator: Thank you. The next question is from Corinna Van Der Ghinst of Citi. Please go ahead.
Corinna Van Der Ghinst: Thank you. hi, good afternoon. Just one quick follow-up questions for me, on the reinvestment you guys are planning, is that incorporating any additional marketing expense? Or can you talk about a little bit what you guys are focusing the marketing on an outside the percent of sales versus last year maybe?
Dave Powers: As a percentage of sales over time, we see it in roughly about the little bit of an increase. But – what we've done over the last year through all this restructuring work is, we scrubbed the marketing spend globally. And we're reallocating to three main areas, one is digital globally across all brands: One is in UGG particularly in the areas of spring and summer and men's and China. So incremental spend is focused on their reallocated there. And then really on driving awareness in the HOKA brand. And so from a percentage increase over last year by brand HOKA is going to have a more significant increase in marketing spend to drive awareness. So we can start to see more success in the run specialty channels and beyond. And also in Europe, we've a pretty strong business that needs more awareness help in the country of Germany and the UK and then incubating China as well. So obviously, that brand has momentum when the customer hears about it, when they try it, they are hooked. But we just need to focus on growing awareness to optimize the size for that brand.
Corinna Van Der Ghinst: Okay. That’s helpful. And then just a follow-up on Macy's I think you guys are – expanding to around 100 doors. Is that number going up more than you guys have previously planned? And can you talk a little bit about the extension that you guys are doing there. Are you going to do more shop-in-shops than you've done in the first season? And then just kind of what those extension will look like.
Dave Powers: Yes. So we've started last fall with the initial launch in Macy's Herald Square, which was very successful. In fact, they give us more space for the months November and December. And we also did a 35-store test with a broad demographic of store locations. We've now correlate that into continuing to support the Herald Square and shop-in-shops that we've established. And then we're going to 200 doors. Believe we started that for spring and that will continue into fall. And right now we’re comfortable with that amount. We want optimize the business in those stores and make sure, we have a robust presentation across all genders and all seasons. That’s going well so far. So we're optimistic about the opportunity going forward into this fall, both instores and online.
Corinna Van Der Ghinst: Okay, great. And then just one final follow-up on just your inventory management trends going forward. You guys [indiscernible] last fall and you’ve utilize the UGG closet function a bit more. Can you talk about how that strategy is being transferred this fall versus last year? And how you’re kind of thinking about that longer term as well?
Dave Powers: Yes. So couple of things, one is we spoke on the last call about filling less closeouts into the channel this past Q4, so we achieve that goal in North America. So there's less closeouts in the channel to begin with. We did utilize UGG closet to help flesh that inventory, which from my perspective is a very healthy way to do it because you're getting higher margin per style. You're getting the customer data as you make that sale. And then you're selling the inventory directly to the consumer versus to an account who may hold onto that and then sell it later in fall which will disrupt your full price business. So that’s going to continue going forward, we’ll utilize UGG closet for that as a way to optimize the margin of access inventory. Generally speaking, we are focused on having fewer closeouts across the board over time. And then we will continue to utilize full – sorry, key accounts for some of the closeout business such as DSW and Nordstrom rack, et cetera.
Corinna Van Der Ghinst: Okay, thank you.
Dave Powers: Thank you.
Operator:
. :
Unidentified Analyst: It's the Eric on Erinn. Thanks for taking our questions. First one I guess for me is, how you are close stores how you are thinking about balancing the recapture between your own E-Commerce website of those units and 3P replenishment type website Amazon around those, et cetera, as you – as the units shift especially on the 50% of business that’s Classics and specialty Classics?
Dave Powers: Yes. So its hard to capture 100% of that business obviously. And so we're planning on capturing small percentage of that business from the store volume. The other challenge that we have to face when we do close those stores, those stores are driving business to our online channel through our infinite UGG program and Click and Collect. So we're working to capture 100% of those store closure business, that's what we estimated on $50 million headwind this year. We will see a little bit of pickup, but it certainly not to the way we can capture that business going forward.
Unidentified Analyst: Thanks, guys.
Operator: Thank you. I would now like to turn the conference back over to Mr. Powers for his closing remarks.
Dave Powers: Thanks, everybody. With the fiscal year 2017 now closed and fiscal year 2018 beginning. I would like to reiterate our focus on improving profitability and strengthening our brand for future growth. As we look forward the entire company is intensely focused on achieving our 13% operating margin Target for 2020. We would do this by driving growth in our UGG and HOKA brand, optimizing profitability and our Teva and Sanuk brands, and executing on the cost savings and gross margin improvements over the immediate term. While the marketplace may continue to have its challenges, we're confident in our ability to control our cost structure in line with the changes in our business pattern while continuing to optimize our sales channel as globally. In closing, I would like to thank all of our stakeholders for their support and employee for their continued focus and passion for the business. Thank you.
Operator: Thank you, ladies and gentlemen. This does conclude today's teleconference. You may disconnect your lines at this time and thank you for your participation.